Operator: Welcome to today's conference call to discuss Global Crossing Airlines financial results for the first quarter of 2025. [Operator Instructions] As a reminder, this conference is being recorded. Joining us on the call today are the company's Executive Chairman, Chris Jamroz; President and CFO, Ryan Goepel; and SVP, Corporate Controller, Wendy Shapiro. Please be advised this conference call will contain statements that are considered forward-looking statements under the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to certain known and unknown risks and uncertainties as well as assumptions that could cause actual results to differ materially from those reflected in these forward-looking statements. These forward-looking statements are also subject to the other risks and uncertainties that are described from time to time in the company's filings with the SEC. Do not place undue reliance on any forward-looking statements, which are being made only as of the date of this call, except as required by law. The company undertakes no obligation to publicly update or revise any forward-looking statements. Please refer to the company's earnings press release for the important risks and assumptions associated with such forward-looking statements. The company's presentation also includes certain non-GAAP financial measures, including EBITDA. As supplemental measures of performance of the business, all non-GAAP measures have been reconciled to the most directly comparable GAAP measures in accordance with SEC rules. You will find reconciliation tables and other important information in the earnings press release and Form 8-K furnished to the SEC yesterday, which are currently available to the company's EDGAR page on the SEC's website and will be available on the company's Investor Relations section of its website within approximately 24 hours after this call has ended. And now I will turn the call over to the company's Executive Chairman, Chris Jamroz. Chris, please go ahead.
Chris Jamroz: Thank you, operator, and good morning, everyone. I hope everybody can hear me okay. I'm pleased to report a solid start to the year for GlobalX. In the first quarter, we continued to execute on the strategic plan we initiated around this time last year, delivering improved financial results. This quarter's performance highlights basically our unwavering commitment to operational excellence, our measured and disciplined approach to expansion and strength of our business model and a versatile service platform. Throughout the quarter, we expanded our fleet, continue to prioritize higher-margin ACMI contracts and optimize fleet utilization. These efforts are key to our long-term strategy and reflect our focus on execution and concerted growth. As demand continues to rise, we are positioning the company to scale up efficiently with the goal of achieving operational and financial sustainability. Looking ahead, we will further strengthen our foundation by adding new logos, curating partnerships, securing longer-term contracts with key customers, and elevating the exceptional service standards that already differentiates GlobalX in the market today. Before handing it over to Ryan, I want to reiterate our steadfast commitment to delivering long-term value for shareholders by driving scalable growth, maintaining our industry-leading customer service and achieving sustainable profitability. With precision, accountability and reliability as the cornerstones and guiding principles of our management philosophy, we remain focused on executing our vision of becoming the largest narrow-body chartering airline in North America. With that, I will now hand it over to our President and CFO, Ryan Goepel, to elaborate on GlobalX's first quarter operational highlights. Ryan?
Ryan Goepel: Thank you, Chris, and good morning, everyone. As Chris noted, we are pleased to report a good quarter for GlobalX. We achieved meaningful year-over-year gains across all key metrics. These accomplishments underscore the positive impact of the strategic initiatives we implemented over the past year. We delivered record revenue of $66.6 million in Q1, representing a 24% increase year-over-year. This strong performance was fueled by the continued scaling of our ACMI business, which grew 84% to $34.3 million and now accounts for 52% of our total revenue compared to 35% in the year ago period. The growth in our ACMI business was primarily driven by an expanded fleet, growing customer demand and increased average revenue per block hour. This reflects the strategic shift we initiated last year to reallocate aircraft from charter to ACMI, capitalizing on its higher margin profile and more predictable flying. As a result, charter revenue declined 10% to $30.5 million compared to $34 million in the prior year period. Charter now represents 46% of total revenue, down from 63% in the same quarter last year. During the quarter, we flew 7,546 block hours, including subservice between ACMI and charter, a 29% increase compared to the year ago period, reflecting strong market demand for service offering further amplified by supply shortage as competitors reduce capacity. In Q1, we increased block hours flown for ACMI by 67% to 5,091 compared to Q1 of 2024. For charter, we flew 2,246 block hours compared to 2,685 in the year ago quarter, again resulting from our intentional shift from charter to ACMI. Our average utilization per aircraft increased 6% to 442 block hours compared to the same quarter last year. Turning to cargo operations. We continue to operate in the trough of the freight cycle. Throughout the quarter, we operated 4 cargo aircraft and at the start of Q2, commenced our 6-month contract with DHL. While the cargo market continues to face the ongoing headwinds, we remain committed to setting the industry gold standard for unit economics with the A321 freighter aircraft. Combine that with our focus on quality and reliability, we believe we are in the early stages of setting the new benchmark for not only service excellence but lowest cost in the packaged goods air freight market. For the passenger market, we continue to see strong demand driven by persistent shortage of available aircraft, reduced direct competition and a growing reliance on flexible, tailored travel solutions from colleges, corporate groups and the U.S. government. We will continue to prioritize growth in this market, recognizing its critical role in our go-to-market strategy and focus on increasing granularity in our overall book of business. To support long-term growth, we regularly evaluate our operations and pricing structure to enhance revenue performance. Our increasing average revenue per block hour underscores the success of the strategic focus. For ACMI, we generated an average of $6,740 per block hour, an increase of 10% from the prior year quarter. For charter, average revenue per block hour increased 7% to $13,588 compared to $12,688 in Q1 of 2024. On a sequential basis, we generated a 9% increase in revenue per block hour for ACMI. The increase in ACMI revenue per block hour was primarily driven by strong market demand, coupled with reduced capacity from competitors. By leveraging favorable market dynamics and growing demand, we anticipate continued profitability across our passenger fleet. During the quarter, we took delivery of 1 additional A321 passenger aircraft, expanding our fleet to a total of 19 aircraft. We remain on track to expand our fleet by more than 20% in the second half of 2025 with the majority of deliveries expected during this period, further strengthening our operational capacity and supporting our next phase of growth. Through Q1, we proactively completed a comprehensive tip-to-tail scheduled maintenance, which included 3 heavy maintenance events and 9 non-heavy maintenance events across 10 aircraft. The significant maintenance work completed in Q1 contributed directly to the higher CapEx, underscoring the volume of work accomplished during the quarter. All aircraft were successfully returned to service ahead of the second quarter, ensuring the fleet availability and positioning the company to support increased flying activity heading into the summer season. We continue to focus on deepening our relationships with both new and existing customers to secure long-term contracts and drive sustainable revenue growth and margin expansion. Consistent with our strategic plan, we prioritized exposure to legacy. We reduced our exposure to legacy low-margin contracts and prioritize higher-margin opportunities aligned with our profitability goals. We extended our sports charter program this quarter, transporting twice as many college teams for the 2025 basketball season and a significant increase in the flying for college basketball tournament compared to the same period last year. This growth highlights the strengthening of our brand in college athletics and our team's now proven ability to meet unique demands of high-profile athletic programs. To support this, we provided three dedicated VIP configured aircraft offered a premium customized onboard experience specifically designed for sports teams and other premium clients. Our summer contracts are nearly at full capacity as our demand in the passenger market continues to rise. In addition, all 4 of our cargo aircraft have work committed for the third quarter, delivering predictable block hours and revenue in an otherwise challenging backdrop for the cargo market. Now I'll turn the call over to our SVP Corporate Controller, Wendy Shapiro, who will discuss our financial results.
Wendy Shapiro: Thank you, Ryan, and good morning, everyone. Please note that all financial results discussed today are for the 3-month period ended March 31, 2025, while variance commentary is on a year-over-year basis unless stated otherwise. Revenue in the first quarter increased 24% to $66.6 million compared to $53.8 million in the year ago period. The increase was primarily driven by aircraft fleet expansion, improved aircraft utilization and higher-margin contracts. ACMI revenue increased 84% to $34.3 million compared to $18.6 million. Charter revenue in Q1 was $30.5 million compared to $34 million. Total operating expenses were $63.5 million compared to $58.5 million, driven primarily by higher aircraft rent, maintenance and personnel costs associated with the ongoing expansion of the GlobalX fleet. Net income improved to $0.2 million compared to a loss of $6.4 million. Earnings per share also improved to $0 per basic and diluted share compared to a loss of $0.11 per basic and diluted share. EBITDA increased to $5.4 million compared to a loss of $3.5 million. EBITDAR increased approximately 2x to $20.6 million compared to $9.3 million. This was primarily driven by increased revenue resulting from fleet expansion and higher average rates per block hour flown in the passenger ACMI segment. Cash flow from operations improved to $0.1 million compared to cash used of $2.1 million. The increase was primarily driven by improved profitability, disciplined cost management and efficiency gains across the business. Turning to our liquidity. We ended the first quarter with approximately $10.2 million in cash and restricted cash compared to $14 million at December 31, 2024, and $7.8 million at September 30, 2024. Now I will turn the call back over to Ryan for closing remarks.
Ryan Goepel: Thank you, Wendy. We are proud of our first quarter performance. Over the past year, we have been committed to our strategic plan through disciplined execution, the expansion of our customer base and the continued shift towards higher-margin ACMI contracts. These efforts highlight the strength of our operating platform and the growing momentum behind our strategy. With this foundation, we are well positioned to deliver strong results in 2025. This concludes our prepared remarks. I'd now like to open the call for Q&A. Operator, back to you.
Operator: And we will now begin the question and answer session. Before beginning the live Q&A session, I would like to hand the call over to the company's Investor Relations adviser, Sean Mansouri.
Sean Mansouri: Thank you, Chris, Ryan, Wendy, and thank you, everyone, for participating in the conference call. As we gather the queue for live questions, as we always do, we'd like to first address a few of the questions that have come in via e-mail over the past couple of weeks as well as after our earnings press release. So with our first question, what drove the return to GAAP profitability this quarter?
Chris Jamroz: The scale, cost control and aircraft utilization driven on the strength of our rapidly growing passenger CMI business, which was the key driver of the meaningfully improved results. And additionally, we continue to be focused on improving the quality of our contracts mix, and we continue to transition away from lower-margin legacy agreements, which were typical for a start-up airline, so nothing particularly unusual about it in favor of higher-margin ACMI contracts were determined and defined our core focus of passenger flying today. This, combined with disciplined cost management, improved fleet utilization as we develop our processes and become basically better at what we do, enabled us to achieve GAAP profitability this quarter, which traditionally is a very tough quarter for any charter operator.
Sean Mansouri: And can one of you elaborate on your fleet expansion plans? Will you lease or purchase future aircraft?
Ryan Goepel: Fleet expansion remains the cornerstone of our long-term growth strategy, and we're evolving our approach to incorporate a more balanced mix of ownership and leasing. While the fleet has historically been 100% leased, we are now actively evaluating opportunities to diversify our model. For example, we are exploring scenarios where we would require an airframe and lease the engines or purchase the entire aircraft outright if the terms are right. Leasing has been an highly effective growth driver for GlobalX and has enabled us to scale our fleet rapidly, preserve capital and maintain flexibility as we establish our leading charter platform. Leasing will continue to serve as a critical tool in our fleet strategy moving forward. At the same time, we recognize the strategic benefits of our aircraft ownership. These include potential long-term cost savings, greater cost control over asset life cycle and utilization and the ability to unlock additional value through tailored financial structures. Ownership also reduces exposure to future lease rate inflation, particularly as aircraft availability tightens across the industry. Financially, the impact of owning aircraft versus leasing the exact same aircraft is highly accretive to EBITDA. We're evaluating potential aircraft acquisitions on a case-by-case basis, assessing operational alignment, capital requirements, and long-term ROI. Any owned aircraft will be layered into the fleet in a measured and complementary way, supporting our broader strategy while maintaining the financial flexibility that leasing has afforded us.
Sean Mansouri: And what is the outlook for the cargo business given the continued soft market environment?
Ryan Goepel: While we continue to see a soft and somewhat unpredictable cargo environment, the impact on our business is lessened compared to the last year. We're encouraged by the underlying demand trends and remain confident in our long-term position as the cargo market stabilizes and begins to recover. There is, without a doubt, considerable uncertainty in the air freight market due to the macro environment. In response, we are concentrating on making sure our aircraft are contracted and continue to look to fill in the schedule with more hours. Due to this weakness, we are not considering adding any capacity to our fleet unless it is for long-term contracted work.
Sean Mansouri: And how are you managing costs amid fleet expansion and increased flying activity?
Ryan Goepel: This is a key area for us. We're taking a disciplined strategic approach to cost management as we scale. Fleet expansion is progressing as planned with 20% increase expected this year. Many new aircraft are coming in under operating leases, which helps us preserve capital and maintain flexibility. We're also investing in operational readiness. In Q1, we completed maintenance across 10 aircraft to minimize downtime ahead of the peak summer flying season. Finally, we're examining every single contract to identify opportunities to take advantage of our newly achieved scale to drive savings in software, maintenance and training on top of the insurance savings already discussed. In Q1, we identified $1 million in savings from last year and we set an internal target of $2 million to $3 million in savings we hope to achieve over the course of 2025.
Sean Mansouri: And last one from our side. Can leadership provide an updated aircraft delivery schedule and composition? Is 35 aircraft by the end of 2027 still the target?
Ryan Goepel: Yes. So what we're looking at, we currently have 19 aircraft. We will be handing back one of our 319s on an expiring lease in June. At the same time, we'll be taking delivery of a 320 around June, July. In addition to that, we have 4 319s that are going to come a month starting at the end of August. They'll be delivered and then put hopefully on the ops stack within 3 to 4 weeks after taking delivery. So that gets us to the end of the year, which gets us to the '22-'23 time frame. Going forward, our goal is to add 4 to 6 aircraft a year. And I think that will get us close to the 35 by the end of '27. And that limit right now, we're primarily targeting passenger. But as we said before, we think there's an opportunity on the cargo side to add significant capacity once contracts are signed. We're not doing the field of dreams model as we joke about here. As we look with some of the customers we have today, they have the capacity and the opportunity to request additional capacity, and we'll work with them as our partners. And if that materializes, I think there's an opportunity definitely to hit the 4 to 6 aircraft a year going forward.
Sean Mansouri: And with that, we'll turn it back to the operator for live Q&A. Operator?
Operator: And now we will move on to the live Q&A session. [Operator Instructions]. Your first question comes from Brian Foote from Broadway Capital.
Brian Foote: Congratulations on the result. Question on the result. A few questions related to cash generation. Can you tell us what target working capital is across the coming months? And I'll have a second part to that question. But what is the right level of working capital to see in the company right now and going forward across the summer season?
Ryan Goepel: Well, and I think when you look at our balance sheet, we operate with negative working capital, and that's generally driven by the fact we have a fully leased fleet. We get paid in advance for most of our flying. So that creates the customer deposit side of it. I think where we're at a level we're at, I think we're looking to I think it's negative $44 million right now. Going forward, I think we'll see that drop over the next 2 quarters and keep in mind, in Q3, especially, we go very, very heavily with ACMI, I think over 90% of our work is ACMI and so that will drop that as well. And as we start to acquire aircraft, in addition, it will drop as well. So those are the 2 factors that will bring it down. That's just the nature of being 100% leased and in the charter business. It will be negative in that sense. So I think one of our key focuses for the year is improving the strength of the balance sheet. And so anything that's better than now is we consider strengthening, and I think that's the target for the next 9 months.
Brian Foote: And then vis-a-vis that, can you break down the CapEx that you had during the quarter, both heavy maintenance and normal maintenance? How do you model that? This was a big piece of your CapEx, but the ongoing maintenance CapEx should, the way I look at it, be a lot lower on a go-forward basis. Can you walk us through what the heavy and the other maintenance events contributed to your capital expenditures this quarter?
Ryan Goepel: Yes. So with three heavy maintenance events and then 9 non-heavy across 10 aircraft, you're going to have some capital expenditures. I think a good for modeling, using $1 million to $1.5 million a quarter for rotables is probably a good number with a fleet our size. And of course, that will increase with the fleet. We don't have any more heavy maintenance. We have one coming in August. So that wouldn't really hit until the end of Q3, and then we start having some more in Q4. So I think you'll see a dip of that in Q2 and Q3 and then closer to that same level in Q4 as to what we had in Q1, if that helps.
Brian Foote: And then I said I had two questions, but if I could sneak in one more. And I think I know the answer to this, but you're in the market for buying aircraft. You obviously operate European-based aircraft and you do cargo. Are there any impacts that you or Chris have seen over the past few months from tariffs, either on the acquisition side, on the customer side or any other that you could call out?
Ryan Goepel: Well, I think when we look at acquiring aircraft, we'd be first targeting aircraft that are in our fleet already. And so that wouldn't have an impact. I think the aircraft we have coming on board at the end of the year are all currently in the U.S., so we didn't have an impact on that. I think as you look towards 2026, I think part of it is that we haven't got any commitments or finalized any commitments for aircraft in 2026. And so our first look is to target U.S.-based aircraft, so that becomes a nonissue. I think if it becomes an issue, it's more of an issue, we'll see what the tariff situation is over the next 6 to 9 months. Obviously, it seems to be a moving target, and there's a lot of variability on that. So the quick answer is no, it hasn't impacted the near-term plans. There is a potential for an impact next year, but nothing we're negotiating right now has materialized in that way.
Operator: Thank you very much for that question, Mr. Brian. And since there are no further questions at this time, this concludes today's call. Thank you for participating. Everyone may now disconnect. Thank you.